Operator: Good day, everyone, and welcome to the Host Hotels & Resorts, Inc. Fourth Quarter and Full Year 2012 Earnings Conference. Today's call is being recorded. At this time, I would like to turn the conference over to Ms. Gee Lingberg, Vice President of Investor Relations. Please go ahead.
Gee Lingberg: Thank you, Kim. Good morning, everyone. Welcome to the Host Hotels & Resorts Fourth Quarter and Full Year 2012 Earnings Call. Before we begin, I'd like to remind everyone that many of the comments made today are considered to be forward-looking statements under federal securities law. As described in our filings with the SEC, these statements are subject to numerous risks and uncertainties that could cause future results to differ from those expressed, and we are not obligated to publicly update or revise these forward-looking statements. In addition, on today's call, we will discuss certain non-GAAP financial information such as FFO, adjusted EBITDA and comparable hotel results. You can find this information, together with reconciliation to the most directly comparable GAAP information, in today's earnings press release and our 8-K filed with the SEC and on our website at hosthotels.com. With me on the call today is Ed Walter, our President and Chief Executive Officer; Larry Harvey, our Chief Financial Officer; and Greg Larson, Executive Vice President, Corporate Strategy. This morning, Ed Walter will provide a brief overview of our fourth quarter and full year results and then will describe the current operating environment, as well as the company's outlook for 2013. Larry Harvey will then provide greater detail on our fourth quarter and full year results, including regional and market performance. Following their remarks, we will be available to respond to your questions. And now I'd like to turn the call over to Ed.
W. Edward Walter: Thanks, Gee. Good morning, everyone. Despite a variety of external challenges in the financial and political world and the historic storm in the Northeast Mid-Atlantic region, 2012 generated another year of positive growth for the lodging industry and especially for our company. Driven by strong group and transient demand, combined with solid cost controls and cheaper utility prices, we were able to substantially exceed our top line and bottom line expectations issued at this time last year. In addition, our fourth quarter adjusted FFO per share exceeded both our most recent guidance and consensus estimates. Finally, we made progress on a variety of corporate initiatives designed to add or realize value, including international and domestic acquisitions, key dispositions, value-enhancement projects and debt refinancing. But before we get into the details, let's review our results for the quarter and the year. Comparable revenues increased 3.9% for the quarter and 5.5% for the full year. Fourth quarter RevPAR for our comparable hotels increased 5.8% and on a calendar quarter basis, increased 6.8%. As we discussed during our last call, the fourth quarter was negatively impacted by unfavorable holiday timing, the election and fiscal cliff concerns, as well as Hurricane Sandy. The storm, which meaningfully disrupted travel in the Washington-New York corridor and resulted in the closure of 4 of our hotels with 1 hotel closed for over 2 weeks, reduced RevPAR for the quarter by at least 1%. Overall, our RevPAR growth accelerated in the second half of the year, and we outperformed the industry over that period. For the year, comparable hotel RevPAR growth was 6.4% as our average rate was $191 per night, and our average occupancy was 74.5%. It is worth noting that while our occupancy levels now exceed our 2007 performance, we have not yet reached our historic peak levels, which exceeded 78%, and we believe that there is still upside potential, especially on the group side of our business. F&B revenue for the year was up a solid 3.9%, although as expected, fourth quarter growth was low, increasing just 1%. Comparable hotel adjusted operating profit margins increased 80 basis points for the fourth quarter and 140 basis points for the year, resulting in a 22% increase in adjusted EBITDA to $426 million for the quarter and full year adjusted EBITDA of $1.19 billion, a 17% increase over the prior year. Our adjusted FFO per diluted share was $0.40 for the fourth quarter and $1.10 for the full year, which exceeded consensus estimates and reflects a nearly 20% increase over 2011. And finally, our dividend for 2012 more than doubled compared to 2011. Overall, the key driver of our business this year was a more than 4% increase in our group room nights, which allowed hotels to be more aggressive in increasing room rates, especially in our transient segment. As a result, roughly 60% of our RevPAR increase in 2012 was driven by higher rates. The strong recovery in our group business was led by our higher-priced association and corporate segments, which increased a combined 8% for the year and drove an overall increase in group revenues of roughly 6.5%. The calendar challenges inherent in Q4 and the impact of the storm, which was well publicized in advance of its landing, led to a lower increase in group room nights for the quarter of just 1.6%, with group revenues increasing by 4%. As of year-end, our group business has recovered more than half of the 19% in demand lost in the downturn, our average rate is just 1% short of 2000 levels. For the full year, our transient room nights increased more than 1.5%, helping to drive strong rate increases across all segments. Average rate increased by more than 4% as transient revenues were up almost 6% for the year. Our business generally shifted towards higher-rated segments through the first 3 quarters of the year, but the fourth quarter transient mix was impacted by Hurricane Sandy, which caused some last-minute group cancellations. While hotel managers were somewhat successful in replacing the lost business with transient travelers, it generally was priced in the discount rate segment. For the quarter, overall rate and demand were both up approximately 3%, leading to a transient revenue increase of nearly 6%. While our full year transient demand is 5% better than 2007 levels, the average rate is still 9% below the prior peak, indicating a meaningful opportunity for additional rate growth in 2013. As I mentioned earlier, our overall occupancy level is about 0.5 point higher than where we were in 2007, but we have not yet achieved the 78%-plus occupancy we reached at the end of the '90s. Average rate is still 6% short of 2000 levels on an absolute basis and closer to 17% below if you adjust for inflation. As we look at lodging fundamentals over the next few years, we expect supply will continue to be constrained, especially in the upper upscale segment. We would expect demand growth will exceed supply growth as international visitation continues to grow and group demand continues to improve. As group demand improves, we would expect that the hotels will benefit from continued mix shift and be able to increase rates across all segments. As a result, we would expect that RevPAR would be driven more by increases in rates, but we would still expect to experience further increases in occupancy. For 2013, the stage is set as I just described. Our group booking pace is up 4% in room nights for the full year 2013, and up 6.5% in revenues. Revenues for the last 3 quarters of the year are up more than 8%. And overall, we expect a strong year from our group segment. Transient bookings are also well ahead of last year's pace and we are seeing solid rate growth in virtually all segments. Our RevPAR growth for the first month and a half is averaging more than 9%. While March results are expected to slow, primarily because of the early Easter holiday, we are certainly encouraged by our initial results. Transaction activity across our various markets generally match the pace we experienced in 2011, although both the U.S. and Europe saw more activity in the second half of the year. For the year, we invested or committed to invest in more than $1.2 billion in acquisitions or new developments, purchased either directly or with joint venture partners. The largest of these transactions, the EUR 440 million purchased by our European JV of 5 Marriott-branded hotels located in Paris and Amsterdam closed late last quarter. On the disposition front, we remain focused on reducing our exposure to noncore hotels located in suburban and airport locations. Consistent with that plan, we sold the San Francisco Airport Marriott, the Rocky Hill Marriott and the Toronto Airport Marriott in 2012. Additionally, we are focused on reducing our portfolio allocation in secondary markets, as demonstrated by our recent sale of the Atlanta Marriott Marquis, which reduced our presence in Atlanta from over 5% to roughly 3% of our U.S. portfolio. In total, our asset sales were $445 million, including the early January sale of the Atlanta Marriott Marquis. Preliminary indications suggest that transaction volumes in the industry will be similar to 2012. We expect to be active on both the acquisition and disposition fronts as we look to increase our investment in target markets and look to reduce our exposure in noncore locations. On the margins, we would still intend to be a net acquirer in 2013. While we have active pipeline both in sales and acquisitions, given the difficulty in predicting the timing of completing these transactions, our guidance does not assume the benefit of any acquisitions nor does it assume the impact of any sales beyond the transactions we have already closed. In addition to transaction activity, we will continue to look to invest in income-generating additions to our portfolio, which typically drive returns well in excess of our cost of capital. In 2013, we hope to commence the final phase of the San Diego Marriott Marquis & Marina, which will provide a new ballroom and exhibit hall. Another 2013 project we are working on is the repositioning of the Newark Airport Marriott, which will include a 10,000 square foot ballroom which is scheduled to be completed before the 2014 Super Bowl, which will occur in the MetLife Stadium just outside of New York. In 2013, we expect to spend approximately $90 million to $100 million on ROI and redevelopment investments. Now let me elaborate a bit on our outlook for 2013. As I discussed earlier, we anticipate that hotel demand will continue to grow as the U.S. economy improves, leading to demand growth which will slightly exceed the less than 1% supply growth projected for 2013. The increase in net demand, combined with solid group bookings, suggests we should experience both occupancy and rate growth in our portfolio. We should also benefit from a more than 20% reduction in maintenance capital expenditures as spending declines from $366 million in 2012 to a range of $270 million to $290 million in 2013, which should reduce ongoing business disruption. With all this in mind, we are expecting comparable hotel RevPAR to increase 5% to 7% for the year. And while food and beverage and other activity is often volatile and difficult to predict, we are expecting those revenues to increase roughly 2% to 4%. We expect margins to be up 50 to 110 basis points. This operating forecast will result in an adjusted EBIT of $1.25 billion to $1.31 billion, and adjusted FFO per share of $1.19 to $1.27. Looking at our dividend, we announced yesterday that our first quarter common dividend would be $0.10 per share. Dividends for the rest of the year will depend both on operating results, as well as gains on asset sales. I am pleased to say that the lodging recovery is progressing well due to continued demand increases combined with low supply growth. As a result of the strong industry outlook and underlying fundamentals, we believe this cycle will continue to gain momentum through 2013 and 2014. The capital we have invested over the last several years in our hotels ensures that our portfolio is in excellent condition and able to benefit from this improving marketplace. As Larry will describe in more detail, our industry-leading balance sheet is getting only stronger, and our cost of capital remains attractive. Looking to our valuation, despite the fact that interest rates are at historic lows and supply is low, our stock is currently trading at approximately a 40% discount to replacement cost and near its average 10-year multiple. When we look at all these factors, it gives us confidence that Host is well positioned to outperform in 2013. Thank you. And now let me turn the call over to Larry Harvey, our Chief Financial Officer, who will discuss our operating and financial performance in more detail.
Larry K. Harvey: Thank you, Ed. Let me start by giving you some detail on our comparable hotel RevPAR results. Overall, we had an outstanding quarter in many markets as 10 of our top 20 U.S. markets had RevPAR growth in excess of 9%. Our top-performing market for the fourth quarter was Los Angeles with a RevPAR increase of 17.6%. Occupancy improved by over 7 percentage points to nearly 81%, while ADR was up roughly 7%. The outperformance was driven by an increase in both transient and group demand. We expect the Los Angeles market to continue to perform well in 2013. Our Seattle hotels had a great quarter with RevPAR up 17.3%. Occupancy improved nearly 9 percentage points, as transient demand was very strong and ADR increased by 4%. We expect Seattle to be one of our top-performing markets in 2013 due to growth in both transient and group demand, which will help to drive rate and RevPAR growth. Our Hawaii hotels significantly outperformed our expectations for the quarter with a RevPAR increase of 12.3%. Occupancy improved by nearly 4 percentage points driven by strong group and transient demand, which drove rate growth of roughly 7%. We expect Hawaii to be a solid market in 2013 due to good group bookings. Results for 2013 will be affected by the construction of the timeshare project adjacent the Hyatt Maui and a rooms renovation at the Fairmont Kea Lani in the second half of the year. Our Houston hotels had a RevPAR increase of 11.6%. Strong group and transient demand led to an occupancy increase of nearly 6 percentage points. The ADR growth of over 3% was driven by increases of both group and transient rates. We expect our Houston hotels to have a good 2013 due to better demand which will allow us to shift the mix of business to higher-rated segments. As we expected, our San Francisco hotels continued their excellent performance, as RevPAR increased 10.9% due to an ADR improvement of nearly 6% and an occupancy increase of 4 percentage points. The improvement in ADR was driven by both rate increases and the shift in the mix of business to higher-rated segments as both group and transient demand performed well. We expect that the San Francisco market will have a decent year in 2013, although results will be affected by the rooms renovation of the San Francisco Marriott Marquis in the first half of the year. RevPAR for our Boston hotels increased 10.2% driven by an increase in ADR and an improvement in occupancy of over 1%. The outperformance was driven by both group business, which created compression to drive rate. We expect our Boston hotels to have another good year due to solid in-house group bookings. Our Chicago hotels also performed well in the quarter with RevPAR up 8.8%. ADR increased nearly 6%, and occupancy improved more than 2 percentage points. Strength in both group and transient bookings allowed our hotels to drive rate. We expect our Chicago hotels to continue to perform well in 2013 due to group demand and ADR improvement through better business mix and overall rate increases. RevPAR for our New York hotels increased just 1.7%. Renovation disruption and Hurricane Sandy negatively impacted our fourth quarter results in New York, particularly at the New York Downtown Marriott, which was closed for 15 days and was well below capacity for the remainder of the quarter due to rooms out of service. In addition, the W Union Square was closed for 8 days. Excluding the Downtown Marriott and the W Union Square, our RevPAR growth in New York was 5.3% on a calendar quarter basis. We expect New York to be one of our top-performing markets in 2013 due to an increase in both group and transient demand, less renovation disruption and no Hurricane Sandy. RevPAR for our Washington, D.C. hotels decreased 4.3% as occupancy declined roughly 3 percentage points and ADR was flat. Results were affected by cancellations related to Hurricane Sandy and renovations at 3 hotels. For the year, RevPAR was down 2.4% in 2012. With the inauguration in January, RevPAR for the month for our 4 downtown hotels was up over 24% and RevPAR for all 11 of our D.C. hotels was up 21%. While we expect 2013 to be better than last year, weakness in government travel will limit RevPAR growth. For the full year, our best-performing markets in the U.S. were Philadelphia with a 14.4% RevPAR increase, followed by Los Angeles with a 12.3% increase and Boston with an 11.1% increase. Our worst-performing market was Orlando with a 3.9% decline in RevPAR due to extensive renovation work. For the 11 hotels in the European joint venture that have comparable results, RevPAR increased 2% for the quarter in constant euros as ADR increased 3%, while occupancy fell 80 basis points. EBITDA margins increased 50 basis points. The Hotel Arts Barcelona and the Crowne Plaza Amsterdam performed the best in the quarter, while the Renaissance Brussels and Sheraton Skyline underperformed. For the full year, RevPAR for the 11 comparable hotels improved 2.9% in constant euros due to 3.3% rate growth, while margins were up 110 basis points. We expect the 18 European joint venture properties, excluding the Sheraton Roma, which was under major renovation in 2012, and including the 5 hotels recently acquired, to have RevPAR growth in the 2% to 3% range for 2013. For the full year, comparable hotel adjusted operating profit margins increased 140 basis points, 30 basis points of which can be attributed to the 5.5% decline in utilities for the year when compared to a normal inflationary increase. For the quarter, comparable hotel margins increased 80 basis points. Margin growth was affected by the lower level of RevPAR growth, which was driven by Hurricane Sandy and the unfavorable shift in holidays in the fourth quarter. More than half of the RevPAR growth was from occupancy growth, not rate. For the fourth quarter of 2012, F&B revenues increased only 1%, and F&B profit declined as the quarter was challenged by an unfavorable comparison to the fourth quarter of 2011 when F&B revenues increased 6.8%. In total, general and administrative, sales and marketing, utilities and repairs and maintenance expenses were flat. Property taxes increased 5% in the fourth quarter, primarily because we received property tax refunds in the fourth quarter of 2011. Looking forward to 2013, we expect that RevPAR primarily will be driven by rate growth. The additional rate growth should lead to solid rooms flow-through, even with growth in wage and benefit costs. We expect unallocated cost to increase more than inflation, particularly for rewards and sales and marketing where higher revenues will increase cost. Margin expansion for 2013 will be negatively affected by projected above inflationary increases in both property insurance, primarily due to Hurricane Sandy losses, and property taxes, which when combined result in a 17-basis-point impact on margins. In addition, a couple of initiatives from the brands, including incremental cost from Marriott's CITY initiative and Starwood's paid search revenue initiative, which when combined results in an incremental 10 basis points in margin as well. As a result, we expect comparable hotel adjusted operating profit margins to increase 50 basis points at the low end of the RevPAR range and increase 110 basis points at the high end of the range. In looking at our comparable hotel margins for 2012, and assuming that we achieve the midpoint of our guidance for 2013, our comparable hotel adjusted operating profit margins will have increased 220 basis points or 110 basis points a year since 2011. There are 2 items, in particular, that impact the comparability of EBITDA and FFO between 2012 and 2013. The first of this -- is the sale of the land to the Hyatt Maui timeshare joint venture. We recognized an $8 million gain on the sale in 2012, which reflected the profit we received from Hyatt for their 1/3 portion of the land. In 2013, the JV expects to start the marketing process for the timeshare, and our portion of the expenses will total roughly $4 million with no offsetting income, resulting in a $12 million decline in EBITDA from 2012 to 2013. The second item is the $9 million of business interruption proceeds related to the New Zealand earthquake that we received in 2012. While the ibis Christchurch reopened in September of last year and we expect the Novotel Christchurch to reopen later this year, the EBITDA generated will be approximately $7 million less than the 2012 EBITDA. When combined, these items generated roughly $19 million of EBITDA and FFO that will not be repeated in 2013. In the fourth quarter, we redeemed $100 million of our 6 3/4% Series Q senior notes. For 2012, we reduced our weighted average interest rate by 90 basis points to 5.4% and we increased our weighted average debt maturity by nearly 1 year to 5.1 years. We finished the year with a debt-to-EBITDA ratio of 4.2x and a fixed charge coverage of 3.2x. We have 2 debt maturities in 2013, the 4.75% $246 million loan on the Orlando World Center Marriott that is due in the second quarter and an 8.5% $33 million loan on the Westin Denver Downtown that goes into hyper amortization in December, both of which we intend to repay with available cash. We finished the year with $417 million of cash. After adjusting for the asset sale proceeds from the Atlanta Marriott Marquis, our January dividend payment and the $100 million credit facility repayment, we currently have over $530 million of cash and $837 million of credit facility capacity. As you are aware, Marriott recently moved to a calendar quarter year. We are thrilled to be moving to the calendar quarter, however, this year will be an interesting year of transition. In order to provide as much transparency as possible, we plan to provide you with estimated comparable revenues and margins on a calendar quarter basis for each quarter in 2012 when we report our results, which will give you an apples-to-apples comparison to the 2013 calendar quarter results. In addition, we will provide estimated adjusted EBITDA and adjusted FFO for each calendar quarter in 2012 in order to make the appropriate comparisons as we report our 2013 results for each quarter. We realize that the transition to a calendar quarter creates challenges for us and for you with respect to spreading metrics, such as EBITDA, among the 4 quarters of the year, particularly in a year when Easter moves from the second quarter to the first quarter. At this point, we are forecasting that roughly 20% of our full year EBITDA will be earned in the first quarter. We will provide you with the spread for each of the remaining quarters on the first quarter earnings call. This completes our prepared remarks. We are now interested in answering any questions you may have.
Operator: [Operator Instructions] Our first question today is from Joe Greff from JPMorgan.
Joseph Greff - JP Morgan Chase & Co, Research Division: For a quick question here, Ed, you mentioned the first month and a half of this year, RevPAR is up 9%. You may have said it, maybe I didn't catch it. If we exclude D.C. from that result, what was the RevPAR growth? And what was New York City's within the first month and a half as well?
W. Edward Walter: I'm not certain what New York City was for the first month because we are -- to be honest, we were just getting some of these results as late as last night. Our sense is that D.C. affected January RevPAR, which was about the same, it was right at the same 9%. D.C. affected January's RevPAR by 1%. So we would've been 8% in January without the strong D.C. performance.
Joseph Greff - JP Morgan Chase & Co, Research Division: Great. And then my next -- final question on the group. You mentioned about the group pace in the last 3 quarters of the year being up 8% versus a year ago. But the 1Q being down, have you tried to estimate what the impact was from Sandy on 1Q bookings, or to what extent it's a reason for that? And then at this point, what percentage of your anticipated total '13 group room nights are on the books right now, and how does that compare to last year?
W. Edward Walter: Okay. We have not tried to figure out what the affect of Sandy was on the first quarter this year. So I don't think we can respond to that. We've got about 75% of our group room nights for the year on the books at this point.
Operator: We'll hear from Joshua Attie from Citi.
Joshua Attie - Citigroup Inc, Research Division: The 5% to 7% RevPAR guidance is for the same-store pool, which is about 85% of the portfolio. Can you share with us what you expect the total portfolio to achieve in terms of RevPAR growth, including the hotels that were recently acquired and those that were coming off renovation?
W. Edward Walter: I guess, the short answer is, Josh, is I don't have that number at my fingertips, but that's something that we can take a look at. I would probably say, broadly speaking, I would be surprised if it would be dramatically different from that, though. We have -- we're going to have a couple of hotels that are still under construction that aren't in because of that reason. But by and large I don't think there's going to be a big difference between the 2 metrics. In fact, thinking a little bit quickly on my feet, we're going to be seeing a huge increase from the Helmsley year-over-year so, to be honest, when you average that altogether, it could be a bit higher. But I honestly don't know off the top of my head the answer to that.
Joshua Attie - Citigroup Inc, Research Division: Okay. And on the margins, you explained some of the issues that are weighing on the 2013 margin growth, which does seem low relative to the RevPAR growth you're going to generate, but part of that may also be kind of slower growth of food and beverage revenue. As group business continues to get better, do you see any potential for an acceleration of food and beverage revenue growth in 2013?
W. Edward Walter: That's a great question, Josh, because that's been -- the food and beverage revenue, this recovery, has been more difficult to predict than any time that I've been with the company. Even if you look at what happened in the fourth quarter, where it was up 1%, the reality is, is if you take New York City and D.C. out of the equation for the fourth quarter, and then you'd see if you looked across the whole rest of the country, food and beverage revenues were up 4.3% in the fourth quarter. So pretty much in line with what we had seen for the rest of the year. When we look at December, we were up 5%, you look at January, we were up 7%. So at the end of the day, what we've tried to do is, because we've seen some inconsistency and because so many of the groups are really not determining their full food and beverage sort of offering until a relatively near-term period before their event actually occurs, we chose to go with what I think, hopefully, I'm hoping it's going to prove to be a conservative outlook of 2% to 4%. But it -- we generally have, on the high end of that, encompassed what we did in 2012. Certainly, there -- if we see some -- if group business comes in the way we like and people feel optimistic about spending, doing better on that front is certainly possible.
Joshua Attie - Citigroup Inc, Research Division: And can you just remind us what the margin sensitivity is? I know that the food and beverage outlets tend to have very low margins, but the food and beverage that's associated with meetings -- if you'll remind us what the margins are on those, and to the extent that the spending is a little bit higher, what the potential flow-through could be?
W. Edward Walter: Yes. Generally, if you look across our portfolio, our -- the absolute margins in food and beverage are kind of in that 26%, 27% range. We would typically expect to see flow-through well above that, but as you pointed out, it depends a bit on whether it comes from outlets or whether it comes from catering. To be somewhere in the 30% to 40% range on food and beverage, given that we do expect strong group business in the year, is certainly reasonable.
Operator: Felicia Hendrix from Barclays has our next question.
Felicia R. Hendrix - Barclays Capital, Research Division: Ed, I think this is the most bullish I've ever heard you.
W. Edward Walter: I think that may just be because of maybe what you've heard from some of the other calls. I sound the same, but it seems better.
Felicia R. Hendrix - Barclays Capital, Research Division: You don't sound the same, you sound good. So -- no, but that's actually gets to the crux of my question. So one competitor who is more cautious regarding the economy and some things that might happen with the government and then you had another competitor who is more cautious regarding the group business. And just wondering, are you leaving enough room for error?
W. Edward Walter: It's a great question, and I mean we certainly did some thinking about that on our side. I mean, we've been -- as a short answer is we think we have. But I'll be honest with everybody, is we have not -- in coming up with our outlook for this year, we have not assumed that the sequester issues snowball into a bigger problem. Say a problem similar to what we saw in the economy in the summer of 2011. We have assumed that there would be impact in D.C., which is certainly a market that is going to feel some pain as a result of the sequester. And we've seen some evidence of that already. We do think that some of the impact of that, though, will be felt perhaps more in the upscale segment than necessarily in the upper upscale segment, but I wouldn't say that we would be immune to that. But on the other hand, we've had good group on the books for the second half of last -- as we look at '13, our group bookings have been solid. We feel good about the group bookings that we have on the books for this year. We -- what we're hearing from our operators is that the group booking pace is -- that the bookings they're looking at, that they've seen so far this year, continue to be strong. Transient has been quite good. The year got off to a great start, and while D.C. was part of that, as I just commented earlier, D.C. was 1% of that growth in January. But after that, even during that period and after that, we've had very good RevPAR growth. So granted there a lot of risks out there and, frankly, as an industry we've been dealing with those risks now for probably 2 or 3 years, but when we separate ourselves from being worried about that and look at the evidence that we can evaluate, we just feel like we're going to have a good solid year. Obviously, things could happen that could be worse. But the bottom line is if we look at the facts in front of us, it feels pretty good right now.
Felicia R. Hendrix - Barclays Capital, Research Division: Great. If we could just switch gears to Europe for a second. The hotels in your European JV, also they reported better RevPAR results than some of your peers who also operate in Europe. So I'm just -- would you attribute that to location, type of property or something else?
W. Edward Walter: I'm sure it's a little bit of both. But I -- the way I would look at Europe right now is there's sort of 2 big factors that affect what happens in European hotels, the way we look at it. The first is that there's no doubt that the weak economy in Europe has caused business travel to be lower, and so we have seen that in our special corporate business and we have seen that in some of our corporate group business. And so what we find is those months of the year that are driven primarily by local and sort of domestic travel, we tend to see weaker results. But we're in a -- the converse to that is those markets that attract international leisure, so that's London, that's Paris, that's Barcelona, that's some of the Italian markets. Those markets, because Europe is still a primary place for the entire world to visit for leisure purposes, those markets are outperforming over the cycle and they've outperformed over the last 12 months. And so, I think, to ultimately get to the answer to your question, is because we're in a lot of those leisure destinations. And as we've mentioned before, fully 40% of our business at those hotels comes from outside the EU and the U.K. The bottom line is, is we've had better performance because of that.
Felicia R. Hendrix - Barclays Capital, Research Division: Okay. Helpful. And then just finally, you might have said this, and if you did, I apologize, but for your -- your 2013 disposition program, have you given us -- have you quantified what that could be?
W. Edward Walter: No. We didn't do -- in our outlook, we did not try to quantify either acquisitions or dispositions. What I would say though is that we did comment that we have sold over $400 million of hotels this year, including the Marquis as -- rather last year, including the Marquis as a 2012 sale. As we think about sales going forward in 2013, we would certainly love to do sales in at least that same level. But as always, since it's not liquidity-driven or event-driven, it's really going to be around what price we can get when we go to be a seller.
Operator: Moving on, our next question is from Andrew Didora from Bank of America Merrill Lynch.
Andrew G. Didora - BofA Merrill Lynch, Research Division: Ed, you just mentioned in response to one of Felicia's questions that you're seeing some evidence of the sequester already in your business. I guess, could you be a little bit more specific just in terms of what you are seeing? Have there been any cancellations or just really a hesitancy to book? And as a follow-up, can you just remind us what percentage of your business comes from government?
W. Edward Walter: Sure. I guess I don't know that we're necessarily seeing -- let me clarify, I said that we were -- we had a conservative outlook about Washington. The reality is, is so far I wouldn't say that we have really seen anything significant that's happened in the last 45 days that we would relate to the sequester. Now what we would say more broadly, so some of this is why I -- maybe our perspective on this is different from others, we've been seeing for the -- probably the last 8 to 10 months, we've been seeing some reduced bookings from some of the government-related industries, and we certainly have not seen the same level of government business in the second half of '12 that we have seen in prior years. But I don't think we've seen anything that's happened in the last 6 or 7 weeks that we would necessarily tie to the sequester. The net of it though is recognizing that the sequester is coming, or at least appears to be at this point in time, we have assumed that our D.C. hotels would probably be a bit softer than we'd like because of the impact of that. Now as it relates to the question of around what government represents for us, I would tell you that all -- including group and transient and looking at government and government-related, so the contractors that are directly working with the government, we would generally put that somewhere in the 6% to 8% of our overall business. It would obviously be a bit higher in D.C. Now I'd also note though that this tends to be our lowest priced business. And so as we get to these higher levels of occupancy and we start to talk about mix shift, this is exactly what we're trying to shift away from, is government business. So the hotels have been focused on that, in general. And as a result, I hope that it will be less impactful than it may have seemed at first glance.
Andrew G. Didora - BofA Merrill Lynch, Research Division: That's helpful. And just one other question. Just when I look at your leverage levels, you've certainly come down a little over a turn, over the past 2 years, but a lot of that coming from EBITDA growth. Has -- where would you like to see your leverage be as we get into later parts of the cycle and do you see the opportunity to lower your absolute debt levels from here?
W. Edward Walter: Overall, I think what we've been pretty consistent about saying is that we'd like to get to about 3x leverage. We're sort of -- comparing to where we were in the prior cycle, which was in the mid-3 range, and I'd say now thinking about appropriate debt-to-EBITDA levels, we'd like to get down to around 3x. I think the bulk of that will come from improvements in EBITDA, but it's conceivable that some of our asset sales may be applied over time to pay down debt.
Operator: And we'll go next to David Loeb from Robert W. Baird.
David Loeb - Robert W. Baird & Co. Incorporated, Research Division: And if I can throw a couple for Larry. Larry, on the pro forma quarterly information, if you could put that out sooner rather than just when you release the quarters, that would really help us a lot. Is that possible?
Larry K. Harvey: Yes, David. One of the issues is, obviously, is if we're in the process of selling assets and other things. So the comp set could change, so we're really focused on only really putting out one number one time, and not updating that for asset sales.
David Loeb - Robert W. Baird & Co. Incorporated, Research Division: Okay. And given the pretty low interest rates in the debt market, would you consider doing the bond deal now even though it looks like use of proceeds would be some debt reduction now or later in the year, but given these rates, is that something that's enticing?
Larry K. Harvey: Yes -- rates are very good. We don't comment on individual bond deals in advance. Obviously, it's something that we look out on an opportunistic basis. And we also balance asset sales, proceeds, available cash and other things as we look at our debt needs. So it's something we continue to evaluate.
David Loeb - Robert W. Baird & Co. Incorporated, Research Division: Okay. And, Ed, what do you think about a share buyback with the price in this range? And how do you evaluate accretion from that versus the opportunities, the returns you could get on acquisitions?
W. Edward Walter: Here's what I would say to that, David, is that, before, as we thought about share buybacks in the past, and I remember we had some fairly extensive conversations about this topic on a call, maybe a year or so ago. We generally would look to do that either from cash flow that we would generate from operations or from asset sales. So certainly, whenever we start to -- when we generate the cash flow or when we have asset sales, we tend to look at what our options are in terms of what we think is going to provide the best returns. Should we add the ballroom in San Diego? Should we buy a hotel somewhere? Or should we buy back stocks? So I'd say in general, that is something that we're always considering. I would add though that at this stage, I would say that we still, going back sort of to the prior question about leverage levels. We've been pretty consistent about the fact that we want to continue to reduce our leverage and make that balance sheet, which is already I think the strongest in our sector. We want to make it even stronger because we just think that will help our overall cost of capital and make us that much more competitive, as well as add a margin of safety in a sometimes cyclical business. So I would say we're probably a little bit more focused on the balance sheet goal than we would necessarily be on buying back stock. But a lot of that will kind of all tie in with exactly how many assets are we able to sell. And then in the context of that, what is the opportunity to -- where is the opportunity to reinvest those proceeds?
David Loeb - Robert W. Baird & Co. Incorporated, Research Division: Okay. And one more, if I can. What's your view on the acquisition market in Europe these days? Do you still have a significant advantage in terms of access to debt capital?
W. Edward Walter: I think we do. I think we do. What we've found on the portfolio that we acquired at the end of last year is that the combination of Host with the Government Investment Corporation out of Singapore combined with the large Dutch pension funds, APG, who is the third partner in that venture, that lenders seem to be far more interested in lending to 3 well-capitalized partners such as ourselves versus some of the other folks that might be active in the market. So while I know that it has been difficult, in general, to attract debt capital in Europe, we've been fortunate that we've been able to do it. And I think that continues to be an advantage as we look to acquire hotels in Europe.
David Loeb - Robert W. Baird & Co. Incorporated, Research Division: And are there significant acquisition opportunities out there today?
W. Edward Walter: I would say that there are -- I wouldn't say that the pipeline in Europe or the opportunities in Europe are quite as many as what we would expect to see in the U.S. Of course, it's a smaller market in general in some ways, so that's not abnormal. But even adjusting for that, I would say there are fewer opportunities there, but there are a few. Our focus in Europe is really at this point primarily in Germany, because the portfolio is not well invested in Germany, and that represents a market we have wanted to get some exposure to. And then I also think that if we could find something that was priced appropriately, we'd be interested in buying into London. Although, we would probably prefer to be buying more off of '13 numbers than '12, given that the Olympics was there last year.
Operator: Our next question today is from Ryan Meliker from MLV & Co.
Ryan Meliker - MLV & Co LLC, Research Division: Just a couple of quick questions. And, Larry, I guess not to piggyback off of what David said, but I don't know if there's any way to get instead of the breakdown of EBITDA by quarter, maybe the calendar quarter total RevPAR levels through 2012 might help us in terms of modeling. I don't know if that's something we could get from you guys at some point. But then the other question I had was just if you had any way to quantify the impact that you think your maintenance CapEx had on your portfolio in 2012 that obviously will be a little bit more of a tailwind in 2013, that would be helpful, too.
W. Edward Walter: I guess on the first question, let me just say is that we will do our best to provide you guys with the best information we can on some of those issues. I mean to some degree, this is a very challenging exercise for Marriott and consequently, it becomes a challenging exercise for us, so we'll do the best we can to provide as much clarity as we can. As it relates to the impact of the capital improvements that we did last year on the kind of operations, I don't know that we really can give you kind of a hard number to say that last year it reduced RevPAR by a percent, because it's just so -- it varies so much by asset. Some assets it was hugely impactful and others, it wasn't. I do think that there -- it does provide more than just 25 or 30 basis points worth of wind as it relates to this year. But exactly what it will be is, frankly, hard to predict.
Ryan Meliker - MLV & Co LLC, Research Division: Okay. But more than 25 or 30, so at least it's material, which is helpful. And then, I guess, other question, you talked about this a little bit in response to your -- to the last question in Europe, but where are you guys focused in terms of acquisitions in 2013? Where do you think the best opportunities are? Is it in the U.S., is it Europe, is it resort, urban, full-service, select service? Where do you think Host will be spending its money?
W. Edward Walter: I would say as we -- if you did a quick tour of opportunities for us right now, our primary market that we're going to focus on is the U.S. And I'd say I think we've been pretty clear of late that we're really focused on a series of gateway markets. I think the market we'd be most interested in acquiring would be in Miami and then some of the California markets, where we are underrepresented. And I'd probably add Seattle to the mix, too, as another market that we would be interested in acquiring in. I think if you look outside of Europe or outside of the U.S., I already commented on where we would be interested in Europe, we are -- we continue to be very bullish on the Brazil market. The initial investment we have made in that market has performed extremely well, and so we would like to invest some more capital there. I think in that area on a full-service side, it would be in the form of acquiring existing assets because we would feel comfortable you could acquire those at discounts to replacement costs. We would also entertain 1 or 2 incremental investments in to-be-built properties that would probably be in the select service area because there is certainly a need for that in Brazil. When we look at Asia, the market that's most intriguing to us right now is Australia. The performance of the assets that we have acquired in Australia to date has been very strong. And as we look at how we expect Australia to perform going forward, I think we have a good understanding that demand will continue to grow. And fortunately, in those markets, somewhat similar to the U.S., supply is very low. And so that creates, in our minds, an opportunity for successful investment.
Ryan Meliker - MLV & Co LLC, Research Division: Okay, that's helpful. And then since you mentioned development in Brazil. Obviously, you guys have the national property with White Lodging here in the U.S., any plan to do more development in the U.S.?
W. Edward Walter: The short answer is probably. I think we're looking at some opportunities right now. I think that if those opportunities would probably show up, it would be similar to the White Lodging example. Meaning that they would be in -- it would be urban limited service is what we would be looking to invest in. But I don't want to signal that we're about to engage in a big move towards development. I would view these as more isolated opportunities in target markets that I just identified. But not a thematic move on our part.
Operator: And we'll hear next from Harry Curtis from Nomura.
Harry C. Curtis - Nomura Securities Co. Ltd., Research Division: How do you balance your appetite for growth versus shareholders' appetite for dividends? And as an adjunct, is there a target optimal size or locational mix that you're trying to achieve? And how much investment might it take to get there?
W. Edward Walter: Harry, I guess what I would say is on the first point is that the dividends usually, for us, is driven by what our taxable income is. So we typically not try to distribute more than what we have, what we're required to do. I imagine though, in the thinking down the road, there is clearly going to be a point in the cycle where we're going to conclude that it does not make sense to invest because the pricing is going to be too rich. And so -- and as -- if we're at that point where, hopefully, when the pricing is rich, that means that Greg and his team are actively selling a bunch of assets. So what will naturally happen as a result of that is that if we're selling assets, generating gains and not reinvesting the proceeds in new hotels, our dividend will increase because we will be dividending out the profits from asset sales. Now on the other hand, I think as we -- we have tried to be thoughtful about how our portfolio is positioned, and of course I would -- we've described a couple of times the fact that we're really, in the U.S., looking at a series of target markets. Just to make it clear to everybody where we're most interested in owning at this point, it's really Boston, New York, D.C., South Florida, Chicago, Seattle, San Francisco, L.A. and San Diego. Those gateway markets are the markets that we think in the long run are going to outperform. We would like the bulk, but I don't think I'd say 100%, but certainly the bulk of our EBITDA in the U.S. to be coming out of those markets. I think we're at the point right now where we're probably at about 70% to 75% of our EBITDA coming from those markets. I'd like to see that percentage be higher. But at the same time, there are -- there are going to be -- there are some great hotels that we have that I think are more valuable in our hands than the sales prices that we might get. So we wouldn't be necessarily looking to exit those hotels until pricing improves in a material way. And I would also say looking down the road that despite the fact that we generally want to be in those target markets, I'm sure there'll be some opportunities that will turn up that we'll realize are compelling and so we'll decide to invest outside that. But I think overall, 80-plus percent in the target markets and something less than that outside of that would be -- makes sense to me today.
Harry C. Curtis - Nomura Securities Co. Ltd., Research Division: And do you have any sense or any rough estimate of how much investment it's going to take to get you there, maybe net of divesting some of your less prioritized hotels?
W. Edward Walter: Harry, I think we could probably do it with just by reduction and reinvestment. I don't know that we have to grow. I generally have thought, though, over time that we are -- we would like -- as long as we think the growth is accretive, as long as we're generating NAV improvement, generating earnings improvement, which I would then hope would translate into share price improvement, we would generally be predisposed towards growth. But I do see -- I think you could -- well, you could certainly get there would via subtraction to.
Operator: James Sullivan from Cowen and Company has our next question.
James W. Sullivan - Cowen and Company, LLC, Research Division: Ed, I just want to make sure I'm clear on the adjusted EBITDA guide. I think your comments said that it included the impact of completed dispositions, but did not include any assumption for acquisitions, although at the same time, you do expect to be a net acquirer this year. Is that right?
W. Edward Walter: Yes, that's correct, Jim.
James W. Sullivan - Cowen and Company, LLC, Research Division: Okay. And on the sale of the Atlanta Marriott, there was a $21 million gain in the first quarter and does the adjusted EBITDA number include that or exclude that?
W. Edward Walter: It does not include that.
James W. Sullivan - Cowen and Company, LLC, Research Division: Okay. And then finally for me, you mentioned in your prepared comments, in terms of what gives you comfort on the demand side, continued good demand on international inward-bound travel. And I'm just curious if there are any leading indicators that you have that gives you comfort there in terms of say 2013, 2014 with demand continuing to grow from that segment?
W. Edward Walter: I think the only -- there's probably not an official publicly stated metric that -- and unfortunately a lot of the information around international travel tends to be very much delayed. But in talking with our asset management team and their conversations with the hotels, the feedback that we're getting is that we're still seeing a very strong influx of travelers from international markets, consistent with the sort of what we've been seeing over the past 24 months. So there's seeing that, whether it's Visa reform, whether it's greater wealth in those markets or in some cases better airlift, the bottom line is that the growth in international travel that we've been seeing since the great recession has sort of at least stopped going downwards, has still -- has been continuing.
James W. Sullivan - Cowen and Company, LLC, Research Division: Okay. Then a final question for me, concerning your credit-rating. I believe you still have a split rating, and I'm curious, as you think about approaching the bond market, your bonds have traded as if they're investment-grade rated. And I'm just curious, if you -- if I'm right on that split rating, if you do become an investment-grade rated issuer, to what extent, if any, do you see some room for improvement in your spreads?
Larry K. Harvey: Being split-rated, Jim, we only picked up a little less than half of the improvement in our spreads than we'd get if we were purely investment-grade.
James W. Sullivan - Cowen and Company, LLC, Research Division: And you would estimate the improvement that you'd get if were investment-grade rated at how many basis points?
Larry K. Harvey: I'd say, at least 25.
Operator: We'll hear next from Susan Berliner from JPMorgan.
Susan Berliner - JP Morgan Chase & Co, Research Division: I just want to follow up, I guess, a little bit on that question. I guess, can you just comment where you stand on the rating agencies. And if you think that you should already -- according to our math, you should already be fully investment-grade rated? And I guess how important that rating is to you? And then another question, just when you look at the secured markets versus the unsecured market, what's kind of the differential in spreads there?
W. Edward Walter: The most important thing with investment grade is having access to capital. In very dire times, the high-yield market will shut down. They shut down for 9 months in 2008. So access to capital, it's also obviously cost of capital. At this point, where we could do a bond deal, call it in -- a 10-year at 4 ¼%. That's equivalent to basically where the life companies are, as well as CMBS. So they're all about at the same spot. So another way to look at that, of course, is that to the extent that we do end up with a dual investment rating then we would be borrowing at less than where we can if we're borrowing from the life companies.
Susan Berliner - JP Morgan Chase & Co, Research Division: And I guess just with regards to the rating agencies, do you think you have all the metrics now that would get the rating agencies to move with the final upgrades?
W. Edward Walter: I think that -- it's probably hard for us to comment on that. Certainly, S&P -- both of the agencies took some sort of action last year. I think one was to literally upgrade us, the other was to change our outlook.
Larry K. Harvey: Giving a positive outlook.
W. Edward Walter: Positive outlook. So as you can well imagine, there's ongoing conversations with the agencies throughout the year. And I think with the fact that you're seeing some of these changes suggest that we've made good progress from their perspective. I think we would like to get the -- ultimately would like the benefit of cheaper debt with being fully investment grade. I think the bigger focus sometimes internally for us though is on making certain -- it's really on the broader balance sheet objective because we think the market has a tendency to pick up the benefit of the balance sheet in our pricing anyway. But at the end of the day, it will ultimately be beneficial to be investment-grade rated by both S&P and Moody's.
Operator: Our next question is from Carlo Santarelli from Deutsche Bank.
Carlo Santarelli - Deutsche Bank AG, Research Division: Most of my questions have been answered, but just really quickly, if you could talk about any specific markets where as you're out there looking to source deals, were things feel a little bit crowded either in the buy or the sell side?
W. Edward Walter: What you've seen this cycle, and it seems to me that it has been -- maybe you've seen this disparity to a greater degree, is that there has really been a focus on everybody on the debt side and on the acquisition side on the larger -- on the gateway markets, the markets that sort of come to mind first. In part because I think there's a general perception out there that those markets, the New Yorks, the D.C.s, the San Franciscos, are maybe a bit safer from a long-term perspective. And so that has clearly driven a lot of the acquisition activity and therefore the disposition activity over the course of the last 3 years. I -- we are hearing, but I don't know that there's any evidence of this yet, that folks are starting to -- both on the lending side and then on the investment side, are beginning to look at some of the next tier down markets. In some ways, I would look at our sale of the Atlanta Marquis as maybe a leading indicator of that. I think that, that was a great asset and -- but at the end of the day, that was a major sale both for us and for the buyer. And I think it's an indication of the fact that people are now starting to look outside of those markets. So it will be interesting to see, as you look at this year, how much more activity starts to happen in what previously were viewed as secondary markets.
Operator: Moving on, we'll hear from Bill Crow from Raymond James & Associates.
William A. Crow - Raymond James & Associates, Inc., Research Division: Ed, just a quick question. It seems to me, as we talk to investors, there's more of a focus on M&A potential today than there was 6 months ago, and I think it's just the pool of capital that's out there chasing deals, and sovereign wealth, et cetera. I guess my question is 2-part. To what extent as you look at the landscape are you interested in participating should we get another round of M&A activity? And if so, are you doing any homework at this point to be ready for it?
W. Edward Walter: Bill, I guess what I would say broadly is that we obviously have the scale to do larger transactions. And so we always are at least trying to be thoughtful about what potential transactions might be out there. We also know, though, that history has suggested that while we've done a couple of larger deals over the years, the reality is that we generally built the company one acquisition at a time. So in terms of how we're deploying resources and things like this at this point in time, it is emphatically far more focused on looking at the individual transactions that are out there, that are in our pipeline as opposed to necessarily looking at larger transactions that might fit into the M&A framework.
William A. Crow - Raymond James & Associates, Inc., Research Division: But you wouldn't be averse to looking, is that a fair statement?
W. Edward Walter: I -- of course not.
Operator: And we'll hear next from Robin Farley from UBS.
Robin M. Farley - UBS Investment Bank, Research Division: Most of my questions have been answered. I just -- I don't think that you gave a comment on your expectations for RevPAR in Europe, in particular, in 2013. I know you have the company-wide, but I wonder if you could give just a little color. I imagine that's similar to what your North America ranges, but if you have commentary in Europe? And then also in North America, do you have any comments on corporate-negotiated rates and where they've ended up for 2013 and just whether that was better or worse than what you were thinking 2 or 3 months ago?
Larry K. Harvey: Yes. For the 18 properties, including the 5 we just bought, in constant euros it's 2% to 3% RevPAR growth.
Robin M. Farley - UBS Investment Bank, Research Division: That was in Q4, the 2%. That's also your expectation for 2013?
Larry K. Harvey: 2% to 3%.
Robin M. Farley - UBS Investment Bank, Research Division: Okay. And the corporate...
W. Edward Walter: And then as it relates to the special corporate discussions, I think we're -- I think what we've generally seen is a plus or minus 5% to 6% in terms of special corporate rate increases. In part of -- what I will say in this area is that we bulked up in this area over the -- through 2009 and through 2010 and probably a little bit even in '11. Last year we didn't necessarily try to grow those relationships a lot, because we're looking for really trying to substitute in higher price business. And I think we've seen a little bit of a continuation on that theme. So the actual rate negotiations are probably in that mid-single digit area, but it -- we might see better performance in that overall, because some of the cheaper business is now not necessarily getting access to the hotels the same way it did a couple of years ago.
Robin M. Farley - UBS Investment Bank, Research Division: Is that 5% to 6% a little bit lower than the kind of high single-digit range you might have expected for the year 2 or 3 months ago?
W. Edward Walter: I'm sure that we started -- our operators started off with a more aggressive position. But I think from our perspective, that's in line with what we thought would likely happen.
Operator: And that's all the time we have for questions today. Mr. Walter, I'll turn the conference back to you for additional or closing remarks.
W. Edward Walter: Great. Well, thank you all for joining us on this call today. I can tell from all of the reports I've seen lately that this has got to be an incredibly busy week for all of you. We appreciate the opportunity to discuss our results and our outlook, and we look forward to providing you more insight into how 2013 is playing out when we do our first quarter call in the very beginning of May. Thanks, everybody.
Operator: And that does conclude our conference call today. Thank you all for your participation.